Operator: Good morning, ladies and gentlemen, and welcome to the Academy Sports + Outdoors Second Quarter Fiscal 2023 Results Conference Call. At this time, this call is being recorded. [Operator Instructions] I will now turn the call over to Matt Hodges, Vice President of Investor Relations for Academy Sports and Outdoors. Matt, please go ahead. 
Matt Hodges: Good morning, everyone, and thank you for joining the Academy Sports and Outdoors' Second Quarter 2023 Financial Results Call. 
 Participating on the call are Steve Lawrence, Chief Executive Officer; Michael Mullican, President; and Carl Ford, Chief Financial Officer. 
 As a reminder, statements in today's earnings release and the comments made by management during this call may be considered forward-looking statements. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, the factors identified in the earnings release and in our SEC filings. The company undertakes no obligation to revise any forward-looking statements. 
 Today's remarks also refer to certain non-GAAP financial measures. Reconciliations to the most comparable GAAP measures are included in today's earnings release, which is available at investors.academy.com. 
 I will now turn the call over to Steve Lawrence for his remarks. Steve? 
Steven Lawrence: Thank you, Matt. Good morning to all, and thank you for joining us for our Q2 earnings call. It's been 3 months since Michael and I stepped into our new roles. Over the past 90 days, we've worked hard to improve our sales trend [ on ] our expenses and the current run rate of the business and to backfill some key positions on our leadership team. I'm excited that we're able to fill all of our key roles with internal promotions, which speaks to the work the team has done over the past couple of years on building a strong internal bench and focusing on succession planning. 
 To highlight that, I'm thrilled that Carl Ford, our new CFO, is 1 of these promotions, and he will be joining us on today's earnings call. Carl has been with the Academy for 4.5 years, and during that time, he's played an integral role in helping the company achieve several milestones including navigating the pandemic, achieving all the objectives in our first long-range strategy, supporting our IPO, and helping shape and create our new long-range plan. 
 Turning to our Q2 results. For the quarter, we achieved net sales of $1.58 billion for a negative 7.5% comp. While we are not happy with running a decrease, these results were in line with our first quarter trend and in line with the guidance we shared during our last call. What was encouraging was that unlike Q1, we saw the business decelerate as we moved through the quarter. In Q2, we saw steady improvements in both sales and margin rates with each month getting successively better. Our belief is that we can continue to build on this momentum as we progress through Q3 and into the holiday selling season in Q4. 
 Looking at sales by division, our best-performing business during the quarter was sports & recreation, which ran a 2.7% decrease. Sporting goods equipment, outdoor cooking, and outdoor furniture all performed well during the quarter. However, the fitness equipment and bike business continue to be tough. Apparel was the second best performing division with a negative 3.7% decrease. We continue to see solid performance out of the men's and youth businesses as well as our licensed apparel area. NIKE also continues to perform well for us along with our private label business. 
 The women's business has remained more challenging for us. As we move forward, we're very focused on getting our women's active business back on track. Footwear during Q2 ran a 4.5% decrease. We continue to see a strength in casual and work footwear driven by national brands such as HEYDUDE along with our private work boot and apparel brand, Brazos. The cleated business was also strong as we continue to be in a much better inventory position versus where we were a year ago. 
 Our outdoor trend for Q2 was a 12.2% decrease which was an improvement versus Q1 was down 15%, but it's still well below our expectations. Better performing categories for the quarter were fishing and camping. Hunting remained the most challenged business continued softness in both the ammunition and firearms businesses. Both of these categories continue to perform well above 2019 levels, but continue to decline from the peaks that we saw during the last couple of years. As we move forward, we expect to see the declines in these categories moderate as we start to lap softer comparisons from last year. 
 When you look across the various businesses, many of the key themes that we called out in our Q1 call carried forward into the second quarter. Customers continue to gravitate towards value on 1 end of our assortment demonstrated by an increase in the penetration of private brand sales. At the same time, customers are also focusing on new and innovative products such as BOGG BAGS and OOFOS recovery slides which, in many cases, were not value items. Bigger ticket items with long replacement cycles continue to be challenged, along with many of the surge categories that benefited from increased demand during the pandemic. We've also seen a consistent pattern of the customer aggregating their purchases during the natural shopping time periods such as Mother's Day, Memorial Day, Father's Day and the Fourth of July. 
 We are continually adjusting our assortment and future buys along with our promotional efforts to align with these trends. Customers will continue to see us lean into our position as evaluated in our space by expanding our everyday value offerings while also leveraging strong promotional efforts during the key shopping moments in the calendar. 
 In regards to new brands and ideas, I'd like to highlight a couple of new initiatives launching in Q3 that will help us take advantage of the customers' appetite for newness. This past week, we announced a new partnership with L.L.Bean become 1 of their key retail partners. We believe their focus on outdoor apparel and footwear with a Northern sensibility as the perfect complement to our Magellan Outdoors and Columbia businesses, which mean more towards fishing and southern climates. Another new initiative is our partnership with Escalade and American Cornhole League to become the exclusive seller of ACL boards and bags for this fall. With the strong market share we have in all things tailgating, this partnership is a perfect fit for us. 
 Later in Q3, we'll kick off a new partnership with Fanatics to help expand our online offering and license team apparel. This business has been a strong suit for us over the years, but our offering has traditionally been anchored in the leagues and teams that live within our geographic footprint. Our new relationship will allow us to dramatically grow our assortment and to service a greatly expanded number of categories, teams and leagues moving forward.  
 Shifting to profitability. We remain focused on proactively managing our business to deliver the best possible results for our shareholders this year while ensuring we remain on track to achieving our long-term initiatives and goals. Our gross margin for the quarter came in at 35.6% which was a 30 basis point improvement over last year, with a 180 basis point increase over our Q1 rate. Beneath the surface, our merchandise margin stabilized at down 21 basis points versus last year, which was a market improvement over our Q1 run rate of down 110 basis points versus 2022. Carl will give you more color around our financial performance shortly.  
 Turning to inventory. At the end of the quarter, our inventory balance was $1.3 billion, which was flat to last year in terms of dollars and down 2% in units in total. On a per-store basis, units declined 5% compared to Q2 of last year. The team has exhibited a very disciplined inventory management approach through the past couple of years, and we plan to continue to lean into this strength as we move forward. We are confident that our current inventory position is at the right level to support our business and the content is fresh and forward facing, which should position us well for the fall and holiday selling seasons.  
 As we discussed in June on our Q1 call, we're taking aggressive action in proactively addressing the trends that we've seen in the business this year in order to help improve sales and profitability as we move through the remainder of the year. I want to give a quick reminder of the key actions we're taking to drive the business.  
 First, we'll continue to highlight and focus on our position as a value leader in the space across all customer touch points. Second, we're introducing new offerings in our assortments such as L.L.Bean, Fanatics, American Cornhole Holding to capitalize on the customers' desire for newness. Cross improving our advertising effectiveness with better targeted marketing that will be facilitated by our new customer data platform. We're continually enhancing our omnichannel functionality and features to improve the customer experience. And lastly, we also expect a sales boost from the new stores we opened up in 2022 along 11 to 12 new stores opening this fall.  
 Now I'd like to turn the call over to our new CFO, to walk you through the financials. Carl? 
Earl Ford: Thank you, Steve. Good morning, everyone. It is an honor to be selected to follow Michael as the Chief Financial Officer of Academy Sports and Outdoors. I am excited about the opportunity to lead our finance organization into what I believe, has a very bright future. I have been with the company since 2019 and I am proud of the work we have done to strengthen our balance sheet and improve our operating model. Academy is not the same company as it was then and I am excited about our long-term growth initiatives and capital allocation philosophy.  
 I will now walk you through the details of our second quarter results. Net sales were $1.58 billion, a 6.2% decline compared to the second quarter of 2022, with comparable sales of negative 7.5%. Sales were impacted by an 8.3% decline in transactions, partially offset by a 0.8% increase in ticket size. During the quarter, customers were more active during holiday periods and we saw an improvement in the comp during each month of the quarter. Gross margin rate was 35.6%, an increase of 180 basis points sequentially and 30 basis points higher than last year. The improvement compared to last year was driven by 88 basis points of lower freight costs, partially offset by a 21 basis point decline in merchandise margins and 37 basis points of higher shrink. 
 Our merchandise margins improved sequentially as we benefited from our ongoing efforts to manage inventory through system capabilities, price optimization, and localization. We saw a 42 basis-point sequential improvement in shrink driven by actions taken to detect and deter losses. We continue to be able to operate at substantially higher gross margin rates even in a challenging environment. 
 During the quarter, SG&A expenses were $352.5 million or 22.3% of net sales, an increase of 220 basis points compared to the second quarter of 2022. This deleverage is primarily driven by investments we are making in our long-range plan. We are investing in new stores, omnichannel, IT, and digital marketing projects that support our growth initiatives. Approximately 80% of this quarter's SG&A dollar increase is related to growth investments. When compared to Q1 of this year, SG&A expenses were 230 basis points lower as a percentage of sales. As we discussed during our first quarter call, we focused on aligning our expenses with our revised sales guidance and the sequential improvement of our expenses as a percentage of sales reflects the hard work done across the organization to rightsize our spending. 
 Examples of areas of the business we have focused on rightsizing include flexing store and distribution labor hours based on revised sales and inventory receipt expectations. Targeted distribution scheduling during nonpeak times and scaling back on projects that are not aligned with long-term growth strategies or current year sales growth. 
 Net income was $157.1 million or 9.9% of sales, a 130 basis point decrease from the second quarter of 2022, resulting in GAAP diluted earnings per share of $2.01, adjusted diluted earnings per share were $2.09. 
 Moving to the balance sheet. At the end of the quarter, we had $311 million in cash and no outstanding borrowings on our $1 billion credit facility. Academy generated $191 million in net cash from operating activities during the second quarter. This is a 19% increase compared to the second quarter of last year. We deployed this cash to invest in our growth initiatives and to repurchase approximately 2 million shares for $107.3 million and pay out $6.9 million in dividends. The Board has approved a dividend of $0.09 per share payable on October 11, 2023, to stockholders of record as of September 13, 2023. 
 Capital expenditures were $69.3 million. For the full year, we still expect to spend between $200 million and $250 million. 
 With that, I will turn the call over to Michael to provide an update on some of our key initiatives and our full year guidance. Michael? 
Michael Mullican: Thanks, Carl. Good morning, everyone. I want to say congratulations to Carl on his promotion to Chief Financial Officer. He has been a core member of Academy's finance organization for the last several years. During that time, Carl has been a key driver of our financial performance. I know that Carl and his team will continue to be excellent financial stewards of the business as we move forward with our long-range plan.
 I'd like to take some time to update everyone on the progress of a few key initiatives that will drive the long-range growth plan we described during our Investor Day this past April. As a reminder, the key components of the growth plan are: First, to open new stores to expand the store base by 50% in existing and new markets; second, to build a more powerful omnichannel business; third, to drive our existing business by improving service and productivity in our stores, strengthening our merchandising, and attracting and engaging customers through communication, content and experiences; fourth, to leverage and scale our supply chain and to achieve these objectives by building the best team in retail.
 I'll start with our new store initiative, which we expect will be the largest driver of sales and profit growth over the next few years. As a reminder, all of our mature stores are profitable and collectively have sector-leading store productivity metrics. We opened 9 stores in 2022. And even though they opened in a challenging economic environment, they are, as a group, meeting expectations and already positively contributing to EBITDA. As I have said in the past, 2022 was a test-and-learn year, and we are in the very early innings of this initiative. While our current new store pro forma assumes approximately $18 million of sales in year 1, inclusive of omnichannel sales, we have learned that new market stores need time to build brand awareness and may have longer sales maturity ramps, while stores in existing markets generally come out of the gate faster.
 Our sample size is limited and the current economic environment is challenging but we continue to learn and refine our expectations and processes with the goal of making each new store opening better than the last one. So far, we are pleased with the learnings that we have implemented. Given the positive preliminary results of the stores we opened in 2022, we are confident that we can take our unique Academy brand, concept and business model to many new markets with great success.
 In the second quarter, we opened 1 store in Peoria, Illinois, which was our second store opening this year. We have 6 scheduled openings in Q3, including our first store in the Indianapolis, Indiana area, which opened last Friday. We are on track to open another 5 to 6 stores in Q4. Steve and Carl mentioned the challenging economic environment, but I want to emphasize that in spite of these challenges, we are able to fund store growth with our existing strong cash flow. As of today, we are only in 18 states, so we have a large runway for growth in front of us.
 In addition, with other retailers scaling back their outdoor product offerings, there are many markets that are favorable for market share gains. Our past experience has confirmed that our market research and due diligence identified locations where stores will be successful for the long term.
 We launched our new customer data platform in July to drive further sales growth. This valuable tool will allow us to aggregate customer data from multiple sources within our organization, creating a comprehensive view of our customers. With this new perspective, we will have the ability to create and develop a robust customer portfolio segmented by cohorts, shopping behaviors, outdoor interest, sports fandom and many other filters. We can use this refined customer data to proactively design highly targeted marketing campaigns tailored to specific customer behaviors and interests. We anticipate that connecting with our customers on this deeper level will drive an increase in traffic, conversion rates, and loyalty. We look forward to updating you about this exciting new capability as we develop and refine it further.
 Finally, a brief update on our supply chain initiatives. As we discussed at our Investor Day in April, part of our long-range plan is to generate 100 basis points of adjusted EBIT margin improvement from our supply chain. We intend to do this by increasing our unit productivity, leveraging existing distribution capacity, lowering our e-commerce fulfillment costs, decreasing lead times, and leveraging transportation costs. A major component of achieving this goal is the implementation of a new warehouse management system in partnership with Manhattan. We are on track to convert 1 of our distribution centers to the new system in 2024. We are also taking other steps to improve supply chain logistics and productivity by implementing consistent processes and procedures, increasing cross-stocking and multi-store deliveries and investing in technology to improve visibility of product flow. I expect us to achieve our EBIT margin contribution goal by the end of the long-range plan.
 To sum it all up, based on our results, current trends and back half expectations, we are reiterating our full year sales and net income guidance while updating our earnings per share forecast to reflect the share repurchase activity in the second quarter. Net sales are still expected to range from $6.17 billion to $6.36 billion with comparable sales ranging from negative 7.5% to negative 4.5%. Gross margin rate between 34% and 34.4%. GAAP income before taxes is still expected to range from $675 million to $750 million and GAAP net income between $520 million and $575 million.
 GAAP diluted earnings per share are now expected to range from $6.65 per share to $7.35 per share. Adjusted diluted earnings per share are expected to range from $6.95 per share to $7.65 per share. The earnings per share estimates are calculated on a share count of 78.1 million diluted weighted average shares outstanding for the full year and do not include any potential future repurchase activity.
 Finally, we still expect to generate $400 million to $450 million of adjusted free cash flow.
 With that, I will now turn the call back over to Steve for his closing remarks. 
Steven Lawrence: Thanks, Michael. As we move forward, I think it's important to note that despite some short-term headwinds, Academy is a much stronger company than we were before the pandemic. Our sales and gross margin rate remained significantly above 2019 levels driven by the operational improvements made over the past few years that have structurally enhanced our earnings power. We have a strong and flexible balance sheet, a very productive 4-wall operating model that is scalable and transportable, a solid team with a track record of executing and delivering results and high customer affinity within our core markets.
 Longer term, we believe we have a compelling growth strategy with multiple ways to capture market share and drive growth through new store expansion into adjacent new and existing markets. We have an improving dot-com business with significant upside, and we have the ability to continue to refine and drive more productivity out of our existing store base. Most importantly of all, this growth can be funded from the free cash flow generated by the business while also returning value to our shareholders through dividends and strategic share repurchases.
 In closing, I'd like to thank all of the Academy team members for their dedication and hard work in helping deliver an outstanding experience to our customers.
 Now let's go, have fun out there. We'll now open the call up for your questions. 
Operator: [Operator Instructions] Our first question comes from the line of Daniel Imbro with Stephens. 
Daniel Imbro: Yes. I want to start just broadly on the consumer trends that you're seeing. We've talked in the past about Academy benefiting from a more discerning customer, maybe looking for value. Do you see any signs of that this quarter, whether it was new customers shopping the store, any trade down within the store? And then also within the quarter's kind of improvement, was any of that attributable to the new marketing plan? Or is that really going to be on the comp for the back half of the year when you think about the sales cadence? 
Steven Lawrence: Dan, this is Steve. I'll start with the first part. I'm sure Michael will jump in. We definitely see the customer under stress and under pressure. We see that reflected a couple of different ways. We talked about customer gravitating towards value. We see that in terms of growth in private label, which represents kind of the value-end of our assortment. We see them also taking a bigger advantage of deals or clearance when we sell that. So there definitely is a move towards customers seeking out value. On the flip side, we also see them seeking out newness, right? We see them going after things that our new and innovative, to a market like we talked about BOGG BAGS or OOFOS slides. That's why we're excited about some of the new brands that we're launching this fall between L.L.Bean and Fanatics and ACL. So that's definitely a trend we've seen.
 We've also seen the customer shop during kind of the key appointment shopping time periods and aggregate the purchases there. And then we've also seen them kind of -- when we get past those key shopping time periods, pull back a little bit, and that's really how we planned our marketing, our promotions throughout Q2 and all the way through the remainder of the year.
 In regards to the targeted market from the CDP, that was really put in place really late in the quarter. So we really didn't get any benefit out of that. We think we'll start seeing some benefit of that in the back half of the year. 
Michael Mullican: Yes. Danny, on the CDP, we've been flying a propeller plane in a dog fight holding our own against fighter jets for the past 3 or 4 years. And now we have our own fighter jet. And we're learning to fly it. Most of that benefit will start to come next year. We should see a little bit this year, but it will not be a meaningful driver of comp this year. The big benefit will come in the out years. 
Daniel Imbro: Super helpful. And then maybe a follow-up just on gross margins. Obviously, there was discussion from peers around maybe higher promotions. Your margins held in well. I'm curious, when you look at your competitive pricing analysis, are the peers coming down to where Academy is priced? Are they actually trying to undercut you on certain items? Just any granularity on that or changing promotional backdrop? And then tied in to that, you know the shrink improved, I think, a little bit quarter-over-quarter. What was the main driver there? Anything worth calling out there for the back half? 
Steven Lawrence: Yes, I'll start and answer the question on promotions, and then we'll have Carl jump in on shrink. Definitely, it's more promotional out there this year than it was a year ago at this time. We talked about in the past call, where we really started seeing promotions creep into the marketplace in the back half of last year and then carried forward into the first half of this year. That being said, as I just said earlier, we're definitely seeing those promotions most effective during those key shopping moments. So we're certainly leaning into that as we move forward. You know that's -- we did have a 20 basis point erosion in merch margin that came from some additional promotions. But probably the best thing that we've done to help manage through that is our inventory management.
 When you think about all the strong disciplines we put in place in terms of our planning and allocation, assortment planning, all those things have really helped us control inventories and control margins and not see the same erosion that maybe other people have seen. 
Michael Mullican: Let me -- I'll take shrink. It's a real issue. In spite of the headwinds we faced from higher shrink, as Steve said, we were able to meaningfully expand our gross margin rate compared to last year. We sequentially improved our gross margin from last quarter. We've taken a lot of actions, many of which are confidential and frankly, clandestine in nature, and we can't talk about many of them, but they're working. 
 One thing that we do from a process standpoint is we count our stores regularly throughout the year. And we take our high-strength store inventories early in the year, that gives us some chance to adjust them and to take some actions and perhaps count them again. And so we have visibility into trends throughout the year. It's a difficult environment. I would tell you that good leaders adjust, and that's what we've done.
 I do have to take the time to thank all of the Academy team members in our stores, the folks in the blue shirts that have been so attentive in helping us manage these issues. They want to do what they do best, and that's help customers have fun. And the best way to prevent shrink is to provide great customer service in the stores. We can do that and provide more labor and more customer service because our stores are significantly more productive than our peers. So we can have people in the stores helping customers.
 Our LP department has worked very hard with law enforcement. We've got great partnerships with law enforcement. And we've been able to, frankly, help intervene and take down some organized crime rings that have helped shrink. So last thing I'll mention here on this issue because it is a big issue. We've heard a lot of people talking about it. If you reflect back on many challenges facing retailers over the past few years, we'll start with the COVID pandemic. During the peak of the COVID crisis, I believe we manage that better than anybody else. We got our stores opened more quickly. We were able to help the community get back on their feet more quickly.
 If you look at ballooning freight costs over the past few years. We've managed that better than most other folks in the space. If you look at back to a year ago, when many retailers were overbought and didn't manage their inventory well, we did that better than others. We're going to do the same with shrink. We have a great team. We're nimble and we're going to manage it. We're not going to use it an excuse to not hit our gross margin goals. 
Operator: Our next question comes from the line of Greg Melich with Evercore. 
Gregory Melich: First, I wanted to -- just look at the comp. Were transaction counts getting better sequentially and did that drive the negative 7.5% comp? Or was it more average ticket? 
Steven Lawrence: So for the quarter transactions, which is also a proxy for us, the traffic was down high single digits, AUR up slightly, units per transaction down slightly. We did talk about how the comps successfully got better as the quarter progressed. You can [ defer ] traffic improve steadily as we -- got less negative as we got through the quarter. 
Gregory Melich: And it sounds like given the -- I guess, the midpoint of the guide now would have you sort of a negative 4.5%, 5% comp in the back half that's -- is that where we're running now? 
Steven Lawrence: So we obviously don't give inter-quarter guidance, but the performance of the business continues to be within the guidance range that we've shared. 
Gregory Melich: Got it. And then I want to follow up on this -- thanks for the answer on shrink that was good and pretty holistic. Freight benefits or supply chain was a benefit that helped grow gross margin or hold stabilize it. Could you quantify that? And maybe sort of give us an idea as to how you're thinking about that into the back half? 
Earl Ford: Yes, Greg, this is Carl. So freight was a tailwind of 88 basis points during the quarter, quarter-over-quarter improvement. So up 30 basis points in gross margin, the puts and takes on that were freight was a positive, 88. Merch was a negative 21, shrink was a negative 37. And we continue within the guidance to see that as a tailwind throughout fall. 
Operator: Our next question comes from the line of Christopher Horvers with JPMorgan. 
Christopher Horvers: Can you talk about what you're seeing in some of the key COVID winning categories, whether it's hunt or exercise equipment, bike and so forth? Are you seeing the bottom form in the business such that we can start to look forward to, improvement in comp and then ultimately positive as you think about the out year? Or are those like basically relative to 2019, is -- are things stabilizing and we can start to think about the business more seasonally? 
Steven Lawrence: Yes. On a key Y-o-Y basis, when you look at just the comparison of those bigger business, big ticket businesses, some of the search categories you talked about, they're still challenged, right? I mean our fitness business continues to be -- fitness equipment, in particular, continues to be pretty challenged. The hunt business you've talked about between [indiscernible] and will continue to be challenged. As we get through this year, the comps get a little less daunting the further we get through the year. So we're counting on some of that improvement as we move through the year.
 But going back to the latter part of your question, when you look at these businesses versus 2019, they're still all really, really healthy. When you look at like the hunt business. It's still up in the mid-40s versus '19. And if you take a category beneath the surface are like ammo, it's still up in like 96% versus where it was in '19. So it's certainly falling back a little bit from the activity we've seen in the last couple of years, but still maintaining a really healthy spread versus pre-pandemic. And once we kind of see this business start to stabilize, and I think it is going to stabilize at a higher level than where it was in '19, I think that's when we'll start being able to move more towards growth from a total company perspective. 
Christopher Horvers: So I guess just focusing on that. So in these or categories broadly in the business, do you feel more confident today than a quarter ago that we are getting to that point of, okay we're seeing a bottom form and you have better visibility as you look forward? 
Steven Lawrence: They're becoming more predictable for us. We certainly can -- are getting a lot closer depend in terms of help forecasting those businesses. They're still running negative though. I mean I don't want to not mislead you on that. They're running negative. But as we get through the year, these headwinds start to diminish a little bit. And so that's what really we're counting on as part of our guidance. 
Michael Mullican: Chris, 1 other thing. I think if we're looking out long term, and again, we're focused on the long term. We're more differentiated in this space than we were a few years ago. I think there's fewer competitors and some of the largest competitors have really backed away from this space. So short term, definitely, as Steve said, we're still running down in some of those categories. It is stabilizing. I think long term, we've got a great opportunity to pick up meaningful share and new customers as we really support and lean into this category. 
Steven Lawrence: Yes, a lot of the categories that you're talking about have major cross shop across the company. And ultimately, even though we're fighting through some short-term chop on this, we believe the diversified assortment, the complementary nature of the businesses and how they cross shop is the right place for us to be. We're a sports and outdoor retailer. And candidly, as more people pull back from the outdoor space, we become maybe the only player in this space with a large footprint. 
Christopher Horvers: Got it. And then my follow-up question is any help here on the back half in terms of cadence from a top line and gross margin perspective as we think about the models. 
Michael Mullican: Yes. No, I think our -- from a guidance perspective, we're comfortable with the annual guidance of down 7.5% to down 4.5%. The flexibility or the variability as you think about that is on consumer health. We're going to continue to lean into value. We're going to continue to lean into newness. It's completely related to consumer health. And on the margin guide from 34.4% down to 34.0%, we feel comfortable with that. We've delivered that consistently over the past 2 years. It's up 500 basis points since pre-COVID and all of those business disciplines that Steve kind of walked through of what we've -- this leadership team started doing in 2019 and really coming back to merchandise planning and allocation, the systems enhancements, planning and buy execution, open to buy discipline, having that markdown life cycle management, we're doing those consistently. 
 That's what we're doing day in and day out as managing the business. And so we feel comfortable with the margin guide, and we've delivered it for the past 2 years. 
Operator: Our next question comes from the line of Kate McShane with Goldman Sachs. 
Emily Kech: This is Emily Ghosh on for Kate. We wondered how you were thinking about the overall health of the marketplace currently and into the second half of the year. It sounds like there are some areas where there's heavier inventory and we wondered how that might impact Academy. 
Steven Lawrence: Yes. I mean, certainly, we've talked about we're very comfortable with where our inventory position is. We also know that competition sometimes has some issues out there and those problems can become our problems as they liquidate product. That being said, some of the headwinds you're talking about, there's definitely increased promotions out there, the heavy inventories you mentioned and customers are under pressure, right? There's -- the credit card debts higher than it's been. Inflation is real. But when you think about some of the other tailwinds we have, we've got this everyday value positioning that is kind of core and fundamental to who we are. And I think customers will continue to gravitate towards value.
 We've got strong offerings of new brands and a really strong private label business that customers resonate with. So we've got some new things coming in. A combination of all those things. We feel like the guidance we gave is thoughtful and encompasses both an upside and the downside scenario. And we're just going to read the situation and react as we go much [ have ] been done all year. 
Michael Mullican: Yes. And going back to a year ago, there was, I think, a number of retailers weren't happy with their inventory positions at that time, and we certainly more than -- we're able to hold our own based on the strength of our inventory management. Reiterating what Steve said, we're in an environment where we certainly believe that value will be more important in the future than it is today than it was a year ago, and we think we're the best positioned to benefit from that. 
Steven Lawrence: At the risk of tripling up, our units are down 5% on a per store basis. We feel like we've really leaned into this inventory management thing. And we've been doing it consistently. 
Operator: Our next question comes from the line of Robby Ohmes with Bank of America. 
Alexander Perry: This is Alex Perry on for Robby. Just first, could you give us some more color on how back-to-school is shaping up? Has the July momentum that you've seen sort of continued? And then I think the high end implies a same-store acceleration in the back half. Is that based on the trends you're currently seeing? And then what are sort of the buckets that were driving acceleration in the back half? And then also, I think you're lapping an Astros win as well. Can you just remind us how much of a headwind that could be to same-store sales, if that's not repeated? 
Steven Lawrence: Lot wrapped up in that question. We'll do our best to tackle it. You know we -- as we said before, we don't give inter-quarter guidance. That being said, our back-to-school is earlier than a lot of other people. So our back-to-school really starts kind of in the back half of July. We already told you July was the best performing quarter for -- or best month of the quarter for us. A lot of those trends that we saw happen at the end of July carried into August in terms of strength in key back-to-school areas like youth apparel, footwear, backpacks, hydration, all those things were really strong for back-to-school for us.
 That being said, we still have a lot of the quarter ahead of us. We've talked about how we've seen the customer shop during those key appointment time periods. But once you get past back-to-school. Right now, we have kind of a kickoff the tailgating hunting season, then we go into a little bit of a lull in the later part of the quarter until we get to the holiday shopping time period. So we certainly got that modeled into our forecast. 
 In terms of the Astros, we are up against Astros win. I hope you're not counting Astros out yet. We're tied for first place, I think, at this point in time. And we also, by the way, have the Ranger still in this as well as Brazos, I think, are still in the hunt. So we've got a lot of teams still in the hunt. And that's 1 of the kind of the fun things about the license business is that there's always something that happens, right? And while we certainly try to take those out of our forecast, we know that if we do get 1 of those teams to get into the world series and when the world series, that would be upside to what we're forecasting. 
Michael Mullican: And Alex, 1 more thing on the license business. We're not oddsmakers and we don't take the field and play the game. We like when the local teams win, but we don't really plan for that. No matter how strong, we think the seasons that they may have can be. So anything there that's beneficial to us is beneficial to the forecast. 
Steven Lawrence: And then back to kind of the remainder of your question, the things we've talked about on the call that we think give us a belief that business is -- our forecast is achievable -- the focus on value that we have, leaning into the newness that we have, the new store initiatives where we've got somewhere between 14, 15 stores this year. We should have another 11, 12 open up in the back half of the year. That's going to be a tailwind for us. We start to anniversary some of the new store openings from last year. They start falling into the comps. So there's a lot of different things that give us a belief that our forecast is pretty solid for the back half of the year. 
Michael Mullican: I just want to say the forecast that we put out there, although noncomp, it includes 13 to 14 total new stores in this year. 
Alexander Perry: Perfect. That's all really helpful. And then just on margins to follow up there. I think the high end of the guidance implies year-over-year increases in the back half what would sort of be the buckets of drivers there for 2H gross margin improvement? Maybe just give us some color in terms of how you're thinking about shrink versus freight versus the promo environment. 
Earl Ford: Yes. I mean the 34% to 34.4% annual actually represents a little bit of a give back from what we've had last year. It's still in that same general range. It's up 500 basis points to pre-pandemic. I think the 3 buckets that you saw this quarter, merch margins, shrink and freight are going to be the main players. We're not going to throw anything new H in the third quarter or the fourth quarter. We started seeing shrink start to turn last year beginning in the third quarter. We were up 40 basis points in the third quarter of FY '22 to the previous year.
 So Michael talking about taking those year-round physical inventories. We kind of got ahead of this a little bit. I'm not saying it's the environment is going to change, but we had already baked some of that into our accrual rate. With that being said, the second quarter was up 37%, approximately 40 basis points. From a merch margin standpoint, I think it begins and ends with inventory management, and just providing the customer with value options on stuff that they really want. And freight, as I previously stated, I think that's going to be a tailwind for fall. So that's what's embedded within the guidance. 
Steven Lawrence: Yes, just I would reiterate that point. We get this question every quarter around margin. And when you look back and you think about where we are as a company, I think we -- a couple of times we said it, we're a different company than we were pre-pandemic. We're sustaining right now at about 27% where we were in '19 from a sales perspective. The margin is about 500 basis points higher. And that's really built on the back of a lot of really strong meaningful operational changes that we've made to the business in terms of how we buy and allocate our regular price and markdown optimization work we do, the better size profiling we do in getting the right goods to the right stores.
 We also think that mix should benefit us as the soft goods business starts to be kind of normalized and become a bigger percentage of the business, that provides a gross margin tailwind. Private brand becoming a bigger percentage of the business provides margin tailwind. So we feel like we've made the right moves long term to structurally improve the margin. Promotions are going to be what they're going to be. And we certainly participate in promotions during those time periods. But at our core, or an everyday value retailer we talked about on a previous call that roughly 75% of our sales come from regular price, which is driven by our value pricing, right?
 So promotions are out there. They're certainly going to be what they're going to be. We feel like we've got them planned appropriately. But we feel like the strength of the margin is structural and foundational and we're going to hold on to it. 
Operator: Our next question comes from the line of Anthony Chukumba with Loop Capital. 
Anthony Chukumba: To be respectful to my peers who may also want to ask questions on this call, I will just ask 1 question. So you talked about the SG&A expense and leverage drivers the new store investments, omnichannel, technology, and digital marketing. Obviously, the new store investments will continue, given the fact that you have a very aggressive new store opening plan. But I guess my question is, when do we start to anniversary the, I guess, the bulk of the omnichannel technology and digital marketing investments? 
Michael Mullican: You say anniversary-ing the bulk of the -- I'm sorry, Anthony, 1 more time? 
Anthony Chukumba: Yes. When do we start to anniversary the bulk of the omnichannel, technology, and digital marketing investments? 
Earl Ford: Anthony, it's Carl. When we launched our long-range plan back in April, we actually baked in about 100 basis points of expense deleverage into it. And it was really around the things that we viewed as strategic priorities to invest in new stores. We think there's a ton of white space there. Omni-channel capabilities, we think we have a lot of upside there and we're just starting to get into the cockpit of the fighter jet associated with the customer data platform. So I really think you can expect us to continue to lean into that. we're going to be responsive from an expense standpoint as we look at a challenged macroeconomic environment and that kind of always optimize our expense structure, but you're going to see us consistently leaning into investing in those areas throughout the long-range plan. 
Steven Lawrence: Yes. I was going to say, I think, particularly in the realm of dot-com, the investment never stops, right? You're continually reinventing your site, adding new [indiscernible] capabilities. We're adding some new [indiscernible] capabilities. Currently, we're going to have several online in the next couple of weeks, which is a big win for us. So I don't think you're going to see us necessarily discontinue those investments or they're going to stop. They're going to be continual as we evolve the business. But we're going to be very thoughtful about where and how we invest those dollars and make sure that they really pay for themselves.
 This new marketing platform, I think we're really early things. As a matter of fact, I'd say we're at the start of the game on this one, and there's going to be more investment against that. But I guarantee you that everything we do, we run an ROIC against and we're going to get paid back in spades for those investments. 
Michael Mullican: And funding those initiatives with existing cash flow. That's the -- 1 of the more important parts. 
Operator: Our next question comes from the line of Brian Nagel with Oppenheimer. 
Brian Nagel: So I'll follow Anthony's lead and only ask 1 question as well, but with multiple parts. First off, congratulations, Carl. We look forward to working with you. So the question I have, look, you've done a fantastic job of managing the business through some cross products out there. Comps are still negative. The guidance you provided for balance sheet would suggest they stay negative through the year. So I guess the question I have is, how do we think about these negative comps? Is it -- what portion of it is lapping some of these post-pandemic type categories versus an underlying more challenged consumer? And then really, what are the -- as you're looking at the business beyond the current year, what are the building blocks to get back to that, say, steady positive comp for the company where it should be? 
Steven Lawrence: Yes. So when we thought about coming out of the pandemic last year in '22, I mean clearly, during '20 and '21, the business grew to an outsized kind of state of proposed, right? It was inflated by onetime customers coming to our stores, 1 of the only store open, et cetera. We had some of these surge categories, there's extra stimulus in the economy. We saw last year's kind of that reset year and really intended to move back to growth this year. I think the thing we were counting on coming into this year was how much pressure the customer is under.
 So I attribute a lot of what we're seeing this year is negotiating through that short-term kind of chop that's being created by the state of the economy. The inflation we talked about, high credit card debt, et cetera. So as we move forward, the thing that's going to -- that we have to keep navigating through is that short-term chop. When we see the customers start to get a little healthier and stabilize, I think that's when we start moving back to growth. And that's when a lot of these initiatives that we're still investing in, right? I mean that's 1 of the things we talk a lot about is these investments we're making in new stores, these investments we're making to our CDP or to our dot-com site, they're all long-term investments, and that's when they're really going to start paying off is once we come out of this kind of short-term dislocation we're having in the market, you're going to see those really kick in. 
Operator: Our next question comes from the line of Michael Lasser with UBS. 
Michael Lasser: How much lower can Academy take its operating expenses without having a negative impact on the customer experience especially if comps remain negative into 2024? 
Michael Mullican: Yes. Well, I think we've got our expense structure in a pretty good place. we're happy with it. I would reiterate, we are more productive, on a sales per square foot basis, we're more productive in a profit per square foot basis. We're more productive in the competition when you look at productivity for employee, and that's important. I know that others have had some actions with their employees, but we're more productive than our competition in most of the sector when it comes to productivity per employee. 
 So I think we've got our expense structure in a pretty good place from a store standpoint, we are looking very diligently as you know, to improve our expense structure and our supply chain. And we've got a very long-lived initiative that we're undertaking there that really won't start benefiting us since the next year. So look, we are working hard on the initiatives that Steve talked about to turn the comp trajectory. We do anticipate that, that will happen based on the initiatives again, not this year, but hopefully, shortly thereafter, and as the other initiatives that we have on the expense side, particularly in the supply chain [indiscernible], we should have some good offsets there. 
Steven Lawrence: But your question is a great question. I mean that's something we spend a lot of time talking about is making sure that as we're managing through this, we're not doing anything to hurt the customer experience. We're more productive in our stores because we've taken noncustomer-facing tasks off the plate, and that's allowed us to flex our labor down there and we'll continue to flex as we need to. But there is a certain to your point, base level of service we want to provide to the customer. As business comes down, receipts come down a little bit, and that gives us a little bit of room in terms of how we manage our supply chain. So I think we've got some natural flexes still in the business based off of how receipts come in, how customers are shopping that we can flex up or down, but we also always want to make sure, to your point, we don't want to erode that customer experience. 
Michael Lasser: Got it. My follow-up question is some of your key vendors are going to soon expand the distribution of their products. And the perception is that as there's more expanded distribution, this is going to put pressure on the profit pool that Academy plays in, which in turn is lowering the operating profit margins for some of your key competitors. So, a, how have you factored in this expanded distribution into your outlook? And b, over the next few years, if we see your competitors have their margins drift lower, what is it about Academy's model that would enable you to maintain the margins that Academy has right now? 
Steven Lawrence: Yes. I'd start with the distribution question. We got this last quarter because it was right around that time. It was announced that I think NIKE is going back into a couple of retailers apparel in Macy's. And I believe footwear in DSW and our response then is the same as it is now. A lot of -- where Macy's are picking up apparel, they're mall-based, we're non -- not mall-based. We really don't anticipate that impacting us too much. DSW tends to be a little more off-mall-based. So certainly, that you could worry about maybe a little bit of traffic from there. 
 But when we look at their assortment and what they traditionally have carried, it's not the same level of assortment that we carry. So having more people having access to brands isn't a positive thing for us, but we think we've got it accounted for and appropriately projected in our margin forecast. Longer term, I keep coming back to the margin improvement that we've seen over the past 5 years is foundational and it's how we manage the business. And I think Carl said it a couple of times on this call. It starts with inventory management. That is a key foundational thing. 
 As a company, we used to carry way too much inventory that created way too any markdowns and inefficiencies in the system. Managing the inventory, managing the receipt flow has so many positive benefits in terms of not creating markdowns on the back end in terms of not creating traffic inventory that stores have to move around needlessly. So inventory management is a big 1 and then just how we manage through our pricing and make sure that we present a value price on a day and day out basis and offer great value. I think the combination of those disciplines we put in place in our everyday value model, I think, there are 2 things that help us believe that our margin is going to be sustainable in the long term. 
Michael Mullican: And then again, back to the other initiatives, we believe very strongly that we've got 100 basis points of benefit coming from the supply chain, more cross-stock, more multi-stop deliveries, better use of variable labor. I mean our workforce in our DC today is frankly highly fixed. So we've got opportunities there. And then with more effective and efficient marketing, being able to target customers directly instead of using a blunt instrument, using a scalpel will help our margins as well. 
Operator: Our next question comes from the line of Seth Basham with Wedbush. 
Seth Basham: My question is around new store productivity. By our calculation. [indiscernible] again, this quarter. I'm wondering if there's anything associated with the new store [ opened ] in terms of location or timing? That's my first question. 
Michael Mullican: Sure. We're pleased with the progress of the new stores. We've opened 3 stores this year, all 3 have been out of footprint. All 3 much more successful than the out-of-footprint openings we had back in 2018, 2019. The last store we opened was in the Westfield Carmel, Indianapolis. And even though, to be quite honest, not an ideal time to open a new store, it's 1 of the better openings we've had out of market in the past 5 years. So we are seeing the 2022 stores a little slower ramp than we had planned. But again, the chain is down. It's -- they're opening stronger than they did in 2019. The economy is challenging, and it takes time to build some brand awareness. And as I said many times over, the test-and-learn year, our 2022 stores, we're still learning from those. We've got 13 to 14 that will open this year. The analogy that I've used internally around this initiative is Milton Friedman, fool in the shower. You turn the water hot, and it doesn't get hot and then you turn it cold and when you turn it cold, it to finally gets hot. 
 And that's meant to illustrate that many times, people fail to account for the lag time when they're studying cause and effect. And so this initiative, we're going slowly here. The punchline is when you have these large initiatives when you can implement them slowly and not all at once, you can study the impact of those decisions, and that's what we're doing. We're still studying the 2022 vintage. We feel like we've got some good learnings and we're applying them. But very, very happy so far. Again, the key things to keep in mind is that all of our mature stores are profitable. We've got more white space than almost any retailer that I can think of, certainly in our sector, only being in 18 states. And we're funding all of this growth through existing cash flow. The stores that we opened in 2022 are already creating cash flow. They're accretive to cash flow. So now we're reinvesting that to open more stores. 
Steven Lawrence: The other thing I would add, that is as we continue to open stores out of our traditional footprint, that's all market share opportunity for us. [indiscernible] pick up market share in those markets. 
Michael Mullican: And it helps the dot-com business as those customers now have awareness to Academy. 
Seth Basham: That's helpful. Just a follow-up. So the 2022 class, you're still expecting, on average, $18 million in sales for that -- those stores. And then the 2023 class with more of those opening outside your footprint, do you expect that $18 million figure again? Or could it be lower than that? 
Michael Mullican: Beyond average, that's how we underwrite the stores, and that's what we expect on average. They may be different depending again, we've tried some different things. We've got some smaller format stores. I would say that are below the 62,000 prototype, those will be smaller. Again, 20% ROIC hurdle for really every store, and they will achieve that, both vintages based on what we've seen. 
Steven Lawrence: And tracking ahead of that. 
Michael Mullican: Tracking ahead of that. That's a pretty attractive return. 
Operator: Ladies and gentlemen, we have time for 1 more question, which will come from the line of Simeon Gutman with Morgan Stanley. 
Jacquelyn Sussman: This is Jackie on for Simeon. Just looking forward, what is the right kind of comp level that you would need to drive leverage in the business? Should we expect there to be some degree of deleverage in the model over time as you open new stores and ramp up your growth investments? Or how should we think about that? 
Earl Ford: Yes, from a long-range plan standpoint, we modeled in low single digit comps and 100 basis points of expense deleverage. We do have some things that offset that in the supply chain space. And we've seen nothing that says that, that's not what we're expecting. If you look at SG&A, for example, in near term in the current quarter, up $13 million year-over-year. That investment is really in those long-range strategic priorities. And our free cash flow, Michael spoke to it, but $190 million in cash flow from operations during the quarter, that's actually up $30 million year-over-year compared to last year, I think, 19% increase in a tough environment when you got a down 7.5% comp. We're creating the cash flow that makes us feel like we have permission to continue to invest in these strategic priorities, and that's what we're doing. 
Michael Mullican: Great. Just one [indiscernible]. Go ahead. 
Jacquelyn Sussman: You go ahead. Just if I can squeeze in a quick follow-up. I know you guys don't guide Q3, Q4 gross margin. But given that Q2 gross margin kind of came in line with normal seasonality versus Q1. Should we think about whether Q3 and Q4 from a margin cadence should follow seasonality as well? 
Michael Mullican: I'll take it. I'm just going to reiterate the 34% to 34.4%, the 3 things that are going to move it are the 3 things that you saw move it this quarter, merch margin, shrink, and freight. From a merch margin standpoint, units down 5%. We feel pretty good from a sales to inventory spread standpoint. We feel like from a promotional standpoint, we're going to do that, but we're going to do it during those key time periods and that really worked for us in the second quarter. 
 From a shrink perspective, we're beginning to lap some stuff from last year that we saw, but I'm not expecting the environment to change magically. We're doing the things that we think help prevent and deter and, in some cases, follow-up on losses that is having a beneficial sequential impact. 
 And freight, it's still going to be a tailwind into fall. So those are the 3 things. We're not going to give guidance on Q3 and Q4 specifically. But those are the 3 things that are going to impact it, and we feel like we're managing what we can manage in those spaces. 
Steven Lawrence: So I just want to close and kind of reiterate, we believe that Academy represents a compelling growth opportunity in the retail space for investors. We have 1 of the most compelling growth opportunities out there. And I want to make sure you guys realize the team is simultaneously focused on 2 things. We're going to continue to navigate through the short-term headwinds while the customers are under pressure. At the same time, we're going to be working against our long-range plan and make sure we're setting ourselves up for success in the long term to achieve our long-range planning and objectives. 
 So with that, I want to thank everybody for joining the call out there. And thanks to all of our Academy associates. And everybody should have a good Labor Day weekend. Thanks. 
Michael Mullican: Thank you. 
Operator: Ladies and gentlemen, the call has now concluded. Thank you for your participation. You may now disconnect.